Operator: Hello, and thank you for standing by. Welcome to Generac Holdings Inc. Fourth Quarter and Full Year 2025 Earnings Conference Call. [Operator Instructions] I would now like to hand the conference over to Kris Rosemann. You may begin.
Kris Rosemann: Good morning, and welcome to our fourth quarter and full year 2025 earnings call. I'd like to thank everyone for joining us this morning. With me today is Aaron Jagdfeld, President and Chief Executive Officer; and York Ragen, Chief Financial Officer. We will begin our call today by commenting on forward-looking statements. Certain statements made during this presentation as well as other information provided from time to time by Generac or its employees may contain forward-looking statements that involve risks and uncertainties that could cause actual results to differ materially from those in these forward-looking statements. Please see our earnings release or our SEC filings for a list of words or expressions that identify such statements and the associated risk factors. In addition, we will make reference to certain non-GAAP measures during today's call. Additional information regarding these measures, including reconciliation to comparable U.S. GAAP measures, is available in our earnings release and SEC filings. I will now turn the call over to Aaron.
Aaron P. Jagdfeld: Thanks, Chris. Good morning, everyone, and thank you for joining us today. Our fourth quarter results reflect a 10% increase in global C&I product sales year-over-year, led by higher revenue from products sold to data center customers. However, this was more than offset by continued soft power outage environment, that impacted home standby and portable generator shipments during the quarter. As a result, fourth quarter overall net sales decreased 12% versus the prior year to $1.1 billion. Fourth quarter adjusted EBITDA margins of 17% were in line, however, with our expectations despite the weaker outage environment and unfavorable mix shift. We made significant progress with our efforts in the data center market as momentum accelerated during the fourth quarter and into early 2026. We further developed partnerships in the quarter with multiple hyperscalers, including progressing to the pilot phases of our relationships with 2 specific customers as we prepare for potential significant volumes in 2027 and 2028. These developments provide incremental visibility and support for our continued investments in ramping our manufacturing capacity for large megawatt generators as we position ourselves to be a key supplier for this rapidly growing end market. Additionally, we are making progress with other data center co-locators and developers as our existing backlog has increased to approximately $400 million as a result of additional orders from these customers. We expect our order intake will accelerate over the next several quarters as we continue to progress through the qualification and contract stages with various data center customers, providing a path to doubling our C&I product sales in the years ahead. To ensure that we can serve this accelerating growth in demand, we have made significant investments that further improve our positioning as an important supplier to the data center market, including the purchase of an additional manufacturing facility in Wisconsin in December, as well as ongoing investments in our existing C&I facilities globally. As a result of these investments, we expect that our domestic manufacturing capacity for large megawatt generators will surpass $1 billion by the fourth quarter of this year. and we will continue to evaluate additional capacity across our entire global C&I production footprint. 2025 was an important year of innovation for Generac as we introduced a number of significant new products across our portfolio. In addition to launching our new large megawatt generators, our next-generation home standby generators began shipping in the second half of the year, including the market's first 28-kilowatt air-cooled unit and other important feature upgrades. We also introduced our updated energy storage system, PWEcell 2 as well as our first Generac-branded microinverter PowerMicro that allows us to better serve the residential solar market. We also continue to develop our enhanced home energy management capabilities through our ecobee Smart Thermostat platform, helping to strengthen our home energy ecosystem through deep integrations with all of our residential products. These solutions are specifically designed to help our end customers solve the energy challenges presented by the mega trends of lower power quality and higher power prices. In addition to the well-established impact on power quality from severe and volatile weather, significant load growth is expected to further drive grid instability and raise power prices well into the future as power demand accelerates as a result of massive CapEx investments being made for the build-out of data centers. According to the North American Electric Reliability Corporation's 2025 long-term reliability assessment, nearly half of the U.S. population lives in a region that is at a high risk of seeing its power supplies fall short of established reliability criteria in the next 5 years. NERC contributes this expected instability to the combination of escalating demand growth with the peak demand growth rate nearly doubling as compared to the prior year's projection, increase in intermittent generation sources, which carry lower reliability factors and the uncertain pace of grid infrastructure development. Most regions within NERC's high-risk category are expected to see -- also see a substantial increase in data center investment in the coming years. Significant load growth is contributing to power demand shortfalls with third-party estimates suggesting that supply and transmission capacity investment growth rates would need to increase sixfold as compared to the rates seen over the last 5 years to match the anticipated higher demand. The investments required are likely to further increase the prices for electricity, adding to the affordability challenges that U.S. residential electricity customers already are experiencing as average power prices have increased nearly 40% over the last 5 years. And expectations for power prices are to double again in the next decade, and these continued increases underpin the need for energy technology solutions as home and business owners look for ways to reduce their increasingly higher energy costs. At the same time, the continuing trends around lower power quality highlight the long runway of growth that we anticipate will exist for our core backup power products and solutions, given that the home standby category is only 6.75% penetrated at the end of 2025. With each incremental 1% of penetration, representing an approximately $4.5 billion market opportunity. As a result of our continued innovation and investments in product development, we believe Generac is uniquely positioned to help our customers solve the energy challenges they are facing with increasing power outages and rising energy costs. At the same time, we believe we are well positioned to capitalize on the massive growth opportunity presented by the supply shortage of mission-critical backup power generators for the data center market. Now discussing our fourth quarter results in more detail. Global C&I product sales grew 10% year-over-year in the quarter, primarily due to revenue from products sold to data center customers, including continued shipments internationally and our initial large megawatt generator sales in the domestic market as well as an increase in global shipments for our controls products and solutions. Project quoting activity and orders in our domestic industrial distributor channel continued to grow during the quarter as end market activity remained robust. However, as expected, shipments to this channel declined in the quarter from a strong prior year comparison resulting from the reduction of lead times in the prior year fourth quarter. Throughout 2025, as we further increased production rates across our existing facilities and with our new plant in [indiscernible], Wisconsin coming online in the second quarter of 2025, we continue to bring down lead times for products sold to this channel down to more historically normal levels. Shipments to our national telecom customers improved dramatically for the full year 2025, increasing approximately 27%. And However, shipments declined modestly in the current quarter from the prior year as increased production rates also allowed us to bring lead times for these products down to more historically normal levels. We expect sales growth to this important end market to continue in 2026 as our customers further invest in hardening their networks. The growing dependence on wireless communication and increasing global tower and network hub count continues to provide a solid backdrop for future growth in sales of C&I products to our telecom customers. Shipments to our national and independent rental customers grew in the fourth quarter compared to the prior year, which we view as the start of a cyclical recovery in this market. As a result, we anticipate further organic growth throughout 2026 and believe that we are well positioned for long-term success given the secular need for global infrastructure-related investments that require the use of our broad portfolio of mobile products and solutions. In addition, on January 5, we further strengthened our position in the market for mobile products with the acquisition of [indiscernible], a market-leading mobile power equipment manufacturer located in Nebraska. In addition to broadening our customer base and increasing our exposure to the growing market for these products, this acquisition provides additional capacity and flexibility within our domestic manufacturing footprint as we continue to invest in doubling our C&I product sales in the years ahead. International core total sales, which excludes the benefit from foreign currency, increased 5% during the fourth quarter, primarily due to revenue from products sold to data center customers and higher global shipments of our controls products and solutions. Favorable sales mix and improved price cost realization resulted in significant adjusted EBITDA margin expansion to 16.1% total sales, an all-time record level for our International segment adjusted EBITDA margin. As previously discussed, we have made important investments that further strengthen our position as a key global supplier of backup power for the data center market. And our current backlog for these products has now grown to $400 million. giving us improved visibility for the current year as the majority of this backlog is expected to ship in 2026. We expect 2026 will be an inflection point for Generac in this end market as we anticipate the addition of significant volumes to our backlog over the next several quarters from a number of hyperscaler and co-locator customers. We believe that our strong reputation as an engineering-driven organization, with a unique focus on backup power, a customer-centric market customer-centric approach and global production capabilities will allow us to become an important supplier to the data center market. Additionally, these large megawatt solutions will help expand our reach into our traditional end markets as they have significantly expanded our served addressable market to include applications that have higher backup power requirements. Now I want to switch gears and discuss our residential product category in more detail. Fourth quarter home standby shipments decreased 25% compared to a strong prior year period, which benefited from multiple major landed hurricanes. Home consultations also declined year-over-year as power outages in the second half of 2025 marked the lowest level of total outage hours in a decade. Activations or installations during the quarter also decreased from the elevated prior year period. While key market indicators such as home consultations, activations and [indiscernible] remained resilient despite the continued softness in outage activity, channel partner sentiment was negatively impacted by the weak second half activity and the transition to our next-generation home standby platform, which resulted in lower-than-expected shipments during the quarter. However, we believe the home standby category is well positioned for healthy growth in 2026 and as outages return to more normal levels and as the market fully transitions to our next-generation product line. Our residential dealer network grew modestly during the fourth quarter and now includes over 9,400 dealers, an increase of nearly 300 dealers from the prior year. Our aligned contractor program, which leverages our strong positioning with wholesale distributors to provide tighter relationships with contractors that purchase our products through this channel has continued to grow as well providing important additional capacity and territorial coverage for sales, installation and service of home standby generators. In January, although not a major event for the industry, the impact of Winter Storm Fern resulted in elevated and extended power outage activity across a number of regions in the U.S. As a result, we saw increased demand for portable generators and we experienced year-over-year growth in home consultations across every region, excluding the West. Importantly, the storm afforded us our first opportunity to assess our new lead distribution system in an elevated demand environment and generated promising returns promising results as a wider base of dealers were able to more quickly connect with a greater number of potential customers than in previous periods of increased category awareness. As a reminder, this new approach allows for a broader base of dealers and align contractors with higher close rates to select the sales leads from a pool of home consultations they believe they have the capacity to address. The remaining leads are then distributed to other dealers to ensure customers are contacted more quickly after requesting a home consultation. We believe data-driven process enhancements such as this will continue to support improvements in dealer close rates and customer acquisition costs over time. Given the improved home consultation performance in January, and assumed return to more normal outage levels for the second half of the year, together with higher price realization for the category year-over-year, we expect full year 2026 home standby generator sales to increase at a mid-teens rate over 2025. Helping to offset the softness in the fourth quarter for our home standby and portable generator products, we saw strong sales of our energy storage products year-over-year alongside continued robust shipments of our ecobee products and solutions in the quarter. Net sales for ecobee grew at a mid-teens rate and hit a new all-time record for the full year with significant gross margin expansion driving continued improvement in profitability as we finished 2025 with positive EBITDA contribution from ecobee's products and solutions. We expect profitability of these solutions to further improve in the future alongside continued strong sales growth. Ecobee's connected home count grew to approximately 5 million residences in the quarter, with increased energy services and subscription sales supporting a growing high-margin recurring revenue stream. Ecobee solutions remains central to our developing residential energy ecosystem with our PWRcell 2, PowerMicro and next-generation home standby products all deeply integrated into the ecobee platform, thereby creating a differentiated feature set and user experience focused on resiliency and the improved efficiency of power use in the home. Additionally, our teams continue to execute extremely well alongside our partners in Puerto Rico to drive shipments of energy storage systems over the last several quarters as part of the Department of Energy program that supported this strong performance throughout 2025. As the DOE program winds down in early 2026, we expect shipments of energy storage systems to decrease for the year while strong growth in ecobee and the initial sales ramp of PowerMicro are expected to contribute to overall residential product sales growth for the full year. As we've previously discussed, we remain focused on continuing to improve profitability for our Residential Energy Technology Products and Solutions as we continue to recalibrate the level of investment in this part of our business, given the expected challenging near-term market conditions, resulting from reduced federal incentives for the residential solar and energy storage market. In closing this morning, as we look to the full year 2026. We believe that a return to more normalized power outage levels and higher price realization will present strong growth opportunities for our residential products, particularly in the back half of the year. Additionally, we are growing ever more confident in the progress we've made in the data center market. and we expect 2026 to be an important inflection point on our path to doubling our C&I product sales in the coming years as we work to capitalize on the generational growth opportunity presented by the massive data center CapEx investment cycle. I'll now turn the call over to York to provide further details on the fourth quarter as well as full year 2025 results and our outlook for 2026. York?
York Ragen: Thanks, Aaron. Looking at fourth quarter 2025 results in more detail. Net sales during the quarter decreased 12% to $1.1 billion as compared to $1.2 billion in the prior year fourth quarter. The net effect of acquisitions in foreign currency had an approximate 1% favorable impact on revenue growth during the quarter. Briefly looking at consolidated net sales for the fourth quarter by product class. Residential product sales decreased 23% to $572 million as compared to $743 million in the prior year. As previously discussed, continued weakness in power outage activity resulted in lower shipments of home standby and portable generators as compared to a much stronger outage environment in the prior year period. Residential energy technology sales increased year-over-year, driven by shipments of energy storage systems to Puerto Rico as we completed the Department of Energy resiliency program during the quarter. Commercial and industrial product sales for the fourth quarter increased 10% and to $400 million as compared to $363 million in the prior year. The combination of contributions from acquisitions and the impact of foreign currency had a 3% favorable impact on sales growth during the quarter. The core sales growth was primarily due to revenue from products sold to data center customers, both domestically and internationally. Net sales for the other products and services category decreased approximately 6% to $120 million as compared to $128 million in the fourth quarter of 2024. The core sales decline of 7% was primarily driven by a decline in aftermarket service parts related to the residential products due to a strong prior year comparison that included multiple major power outages, partially offset by continued growth in ecobee Services. Gross profit margin was 36.3% compared to 0.406 in the prior year fourth quarter. This decrease was primarily due to unfavorable sales mix, together with a $15.6 million net inventory provision recorded in the current year quarter related to the settlement of a contract dispute with a supplier for a discontinued product. as disclosed in the accompanying reconciliation schedules to the earnings release. In addition, higher input costs and lower manufacturing absorption were mostly offset by increased price realization. Operating expenses increased to $405 million or up 34% compared to the fourth quarter of 2024. The increase was primarily driven by a $104.5 million provision recorded in the current year quarter for the settlement of a portable generator product liability matter as disclosed in the accompanying reconciliation schedules to the earnings release. Additionally, lower incentive compensation was offset by higher marketing spend to drive incremental awareness for our products. Adjusted EBITDA, before deducting for noncontrolling interest, as defined in our earnings release, was $185 million or 17% of net sales in the fourth quarter as compared to $265 million or 21.5% of net sales in the prior year. For the full year 2025, adjusted EBITDA before deducting for noncontrolling interest was $716 million or 17% of net sales as compared to $789 million or 18.4% in the prior year. I will now briefly discuss financial results for our 2 reporting segments. Domestic segment total sales, including intersegment sales, decreased 17% to $889 million in the quarter as compared to $1.07 billion in the prior year, which included a slight favorable impact from acquisitions. Adjusted EBITDA for the segment was $151 million or 17% of total sales. as compared to $243 million in the prior year or 22.7%. For the full year 2025, domestic segment total sales decreased 4% over the prior year to $3.49 billion, which included a slight favorable impact from acquisitions. Adjusted EBITDA margins for the segment for the full year 2025 were 17.1% compared to 19.1% in the prior year. International segment total sales, including intersegment sales, increased 12% to $209 million in the quarter as compared to $187 million in the prior year quarter. including an approximate 6% sales growth contribution from foreign currency. Adjusted EBITDA for the segment before deducting for noncontrolling interest was $33.7 million or 16.1% of total sales as compared to $22.5 million or 12% in the prior year. For the full year 2025, International segment total sales increased 7% over the prior year to $777 million, including an approximate 1% sales growth contribution from foreign currency. Adjusted EBITDA margins for the segment for the full year 2025 and before deducting for noncontrolling interests were 15.1% of total sales during 2025 as compared to 13.2% in the prior year. Now switching back to our financial performance for the fourth quarter of 2025 on a consolidated basis. As disclosed in our earnings release, the GAAP net loss for the company in the quarter was $24 million as compared to net income of $117 million for the fourth quarter of 2024. As previously discussed, the current year quarter includes the impact of the aforementioned product liability and supplier contract settlements, which drove our net loss for the quarter. GAAP income taxes during the current year fourth quarter were a benefit of $3.7 million or an effective tax rate of 13.4% as compared to an expense of $27.3 million or an effective tax rate of 18.9% for the prior year. The lower effective tax rate was driven primarily by the impact of certain favorable discrete tax items and their impact on a lower pretax income in the current year. The net loss per share for the company on a GAAP basis was $0.42 in the fourth quarter of 2025 compared to net income per share of $2.15 in the prior year. Adjusted net income for the company, as defined in our earnings release was $95 million in the current year quarter or $1.61 per share. This compares to adjusted net income of $168 million in the prior year or $2.80 per share. Cash flow from operations was $189 million in the current year quarter as compared to $339 million in the prior year fourth quarter. And free cash flow, as defined in our earnings release, was $130 million as compared to $286 million in the same quarter last year. The change in free cash flow was primarily driven by a significant reduction in net working capital in the prior year, which did not repeat and lower operating income in the current year, partially offset by lower cash payments for taxes. Total debt outstanding at the end of the quarter was $1.33 billion resulting in a gross debt leverage ratio at the end of the fourth quarter of 1.9x on an as-reported basis, which is within our target gross debt leverage range of 1 to 2x adjusted EBITDA. For the full year, Cash flow from operations was $438 million as compared to $741 million in the prior year. Free cash flow, again, as defined in our earnings release, was $268 million, as compared to $605 million in full year 2024. Capital expenditures during the full year totaled $170 million or 4% of net sales as we invested in additional production capacity and other capabilities to support future C&I growth. In addition, we opportunistically repurchased approximately 1.11 million shares of our common stock during the full year for $148 million at an average price of $133 per share. Additionally, on February 9, Generac's Board of Directors approved a new share repurchase authorization that allows for the repurchase of up to $500 million of the company's shares over the next 24 months, replacing the remaining balance of the previous program. We will continue to operate within our disciplined and balanced capital allocation framework as we evaluate future shareholder value-enhancing opportunities. With that, I will now provide further comments on our new outlook for 2026. As disclosed in our press release this morning, we are initiating 2026 net sales guidance that projects strong year-over-year growth for the full year period. We expect consolidated net sales for the full year to increase at a mid-teens rate as compared to the prior year, which includes a favorable impact of approximately 1% from the net combination of foreign currency and completed acquisitions and divestitures. Consistent with our historical approach, our guidance assumes a level of power outage activity in line with the longer-term baseline average for the remainder of the year and does not assume the benefit of a major power outage event during the year. Breaking this down by product class, we expect overall residential net sales to increase in the plus 10% range as compared to 2025, primarily driven by growth in shipments of home standby and portable generators, given the assumption of a return to a baseline average power outage environment in 2026 as compared to an easier comp in the second half of 2025. In addition, we expect higher price realization for home standby generators, the launch of PowerMicro and continued growth at ecobee to contribute to the strong residential product sales growth. The residential growth will be partially offset by lower energy storage sales due to the end of the Department of Energy Program in Puerto Rico. As Aaron discussed, we expect robust C&I product sales growth in the plus 30% range during 2026, primarily driven by products sold to data center customers. In addition, the acquisition of Allmand is expected to contribute approximately 1/4 of this year-over-year growth, with the remainder coming from modest organic growth in our traditional C&I products and channels. Additionally, in January, we completed the divestiture of certain noncore assets that will impact sales for our other products and services category, resulting in an approximate 10% year-over-year decline for this product class in 2026. From a seasonality perspective, we expect 2026 consolidated net sales to be approximately in line with normal seasonality, resulting in overall net sales in the first half, being approximately 46% weighted and sales in the second half being approximately 54% weighted. Specifically for the first quarter, we expect overall net sales to increase in the plus 11% to 13% range compared to the prior year primarily driven by strong growth in portable generator shipments related to winter storm fern and significantly higher revenue from products sold to data center customers. Looking at our gross margin expectations for the full year 2026. We expect the full year realization of price increases to be fully offset by higher input costs and unfavorable mix, resulting in approximately flat gross margins compared to the prior year in the 38% to 39% range. From a seasonality perspective, we expect first quarter gross margins to mark the low point for the year, with a slight sequential decline from the fourth quarter of 2025 in the 36% range. In line with normal seasonality, gross margins are expected to improve sequentially into the second half of the year given the increasing mix of higher margin home standby product sales, resulting in second half gross margins in the 39% range. Looking at our adjusted EBITDA margin expectations for full year '26. Adjusted EBITDA margins before deducting for noncontrolling interests are expected to be approximately 18% to 19% for the full year 2026 compared to 17% in 2025. At the midpoint of the sales growth and margin ranges, this would result in an approximate 25% increase in EBITDA dollars in 2026 and compared to 2025. We also expect adjusted EBITDA margins to follow normal seasonality and improved significantly as we move throughout the year. Specifically, regarding the first quarter, adjusted EBITDA margins are expected to land in the 15% range and then improved sequentially throughout the year, reaching approximately 20% for the second half of the year. This sequential improvement is expected to be driven by the previously discussed gross margin mix improvements, together with significant operating expense leverage on the seasonally higher sales volumes. As is our normal practice, we're also providing additional guidance details to assist with modeling adjusted earnings per share and free cash flow for the full year 2026. Importantly, to arrive at appropriate estimates for adjusted net income and adjusted earnings per share, add back items should be reflected net of tax using our expected effective tax rate. For 2026, our GAAP effective tax rate is expected to be between 24% to 25% as compared to the 18.9% full year GAAP tax rate for 2025. We expect interest expense to be approximately $65 million to $69 million for full year '26, assuming no additional term loan principal prepayments during the year. This is a decline from '25 levels of $71 million due to the full year impact of lower sulfur interest rates. Our capital expenditures are projected to be approximately 3.5% of our forecasted net sales for the year as we continue to invest in incremental capacity and execute other projects to support future growth expectations, particularly for C&I products. Depreciation expense is forecast to be approximately $104 million to $108 million in '26, given our assumed CapEx guidance. We have intangible amortization expense in '26 is expected to be approximately $18 million, $112 million during the year. Stock compensation expense is expected to be between $54 million to $58 million for the year. Operating and free cash flow generation is expected to be weighted towards the second half of the year in '26, resulting in projected free cash flow generation of approximately $350 million for the full year 2026. Our full year weighted average diluted share count is expected to increase modestly and be between 59.5 million to 60 million shares as compared to 59.3 million shares in 2025. Finally, this 2026 outlook does not reflect potential additional acquisitions, divestitures or share repurchases that could drive incremental shareholder value during the year. This concludes our prepared remarks. At this time, we'd like to open up the call for questions.
Operator: [Operator Instructions] Our first question comes from the line of Tommy Moll with Stephens.
Thomas Moll: Aaron, I wanted to ask about your progress with the hyperscalers. Just to level set, I think what I hear you saying is no orders in backlog yet, but the advance to the pilot phase is new versus last quarter. So maybe if you could just confirm if that's correct. And just give us a little more insight about what you're expecting in the go forward. You talked about orders to come? Just walk us through what the phases of that might look like.
Aaron P. Jagdfeld: Yes. Thanks, Tommy. So yes, that's largely correct. The backlog, there's a couple of units in there for the pilot program, but that's it. So the $400 million. And remember, the $400 million is after we began shipping product in Q4 and here also started Q1. So good order flow again over the last 90 days to get the backlog to 400, and that's without any material hyperscale business at this point. So that's the answer to that question. And the second part of the question in terms of the progression there. The pilot programs are in flight. We are in deep negotiations with the -- with 2 hyperscale customers in particular, and that's what the pilot programs are related to. And we would anticipate with successful completion of those pilot programs here in the call it, the end of the first quarter, beginning of the second quarter, we would be in a position then with each of those customers to sign a longer-term supply agreement, a master supply agreement. And then that's when we would start to see purchase order flow, and that would then feed into the backlog. They've been holding off on that, although I will say all of our conversations with those 2 hyperscalers have been about how much can we supply for 2027 and 2028, what's our capacity. And then also, do we have potential to supply product in 2026. And so that is not in our guide at all, obviously. So that could be upside. Again, as I said on the call, with the purchase of the new facility here in Sussex, Wisconsin. We'll have that facility online in the second half of the year, and we could respond to potential or potential for additional orders from those hyperscale customers in '26 should we be able to work through the successful completion of the contract negotiations in the pilot phases. But we feel very good about where we're at. They need additional supply desperately. And we believe we're going to be in a really good position certainly for '27 and '28, but also potentially here for 2026. The addition of that facility and some of the tweaks we've made, just to our domestic capacity, we believe we're now over $1 billion here domestically for capacity. So -- and we're looking at ways we could go higher because the volumes we're talking about in '27 and '28 could take us easily above those numbers.
Operator: Our next question comes from the line of George Gianarikas with Canaccord.
George Gianarikas: So as it relates to the data center opportunity, can you just maybe talk a little bit about the competitive environment, how that may be changing or if it's the same and whether or not this enormous opportunity is inviting any new entrants into it?
Aaron P. Jagdfeld: Yes. Thanks, George. So as it relates specifically to diesel generators, large megawatt diesel generator backup, the market is has not changed in terms of participants at this point other than our entry into it. I think that the reason for that largely is the limitation around the number of diesel engine manufacturers in those high horsepower diesel engine ranges. That's a pretty static number because of the investment required, not only in R&D, but also just the the production investment needed to -- for tooling and the manufacturer of those types of products. So we think we have a great partner there that has invested very heavily in capacity. So we don't believe we're going to see capacity limitations in the near term or in building out the rest of our supply chain, obviously, it's not just engine. There are alternators, there are cooling packages, there are structural elements of the generator in terms of the steel base frames and the diesel tanks themselves. And then obviously, the packaging structures that go around these machines that typically is handled by third-party companies. We are evaluating and deepening our relationships in the supply chain. It's not just the investments we're making in our own production environment, right? We can go out and buy a plant and we can buy the equipment and hire the people, [indiscernible] the plant, but we need to make sure the supply chain is ready for those higher volumes. Fortunately, this is something we do really well, right, we're taking a page out of our residential side of our business where we've been very agile over the years and reacting to surges in demand and the ability to get our supply chain at the levels that we need them at to be successful and to handle increased demand. So we're kind of built that way. So I guess, just -- it's part of our DNA, and I think it's going to serve us quite well in this new market.
Operator: Our next question comes from the line of Mike Halloran with Baird.
Michael Halloran: Maybe just a thought about how you're thinking about directionally the TAM or the growth profile over the -- for the data center markets over the next 3, 5 years, whatever kind of time horizon you're talking to. Just to put it in context of the growth from an industry perspective? And then secondarily, the types of share that you envision is realistic within the context of that overall market opportunity.
Aaron P. Jagdfeld: Yes. Thanks, Mike. It's a great question. And obviously, the numbers around the size of the price, right, in terms of how how much market -- what is the TAM for just specifically the day center element there in this market for diesel, a large megawatt diesel backup generators, it keeps changing because a lot of that is tight, obviously, as you would imagine, to the amount of construction. But we think that, that's something -- that market could be as much as $15 billion a year alone. For us, I think when we look at what's reasonable for us for share position, we look at our share here in North America, depending on the segments of the markets you look at, we're a 10% to 15% share player in the C&I market. So we think that is that a reasonable target for us? We believe so. Maybe on the low end of that, it's 10%. I mean, again, we believe that the opportunity here is great enough that we can take what effectively was a $1.5 billion business last year in C&I, and we can double that in the next 3 to 5 years. So that would be the addition of another $1.5 billion. So just a 10% share. So now if the market is bigger, maybe that number grows. If the number is smaller because of the potential cycle, cyclical nature of like all markets, there are cycles, we're going to be measured about that. I will say this, in addition to just -- obviously, the discussion this morning is heavily focused and waited on data centers. But we basically are starting from 0 with our traditional market, which already existed that traditional market, obviously not a $15 billion a year market in that range, but it's half the dollars in our traditional market. So it's another, call it, $3 billion to $4 billion. And so just getting a portion of that, we believe, is going to be supportive of the growth that we're seeing. And for the record, the $400 million backlog that we keep talking about, we don't have any of our traditional large megawatt products in that backlog at this point. So that's a recent product launch. We launched with the data center-focused sets first, and we started quoting now in the traditional market. So that's an opportunity for us on a go-forward basis that will, I think, be able to talk more about as we go throughout 2026 here.
Operator: Our next question comes from the line of Jeff Hammond with KeyBanc Capital Markets.
Jeffrey Hammond: Maybe shifting gears to residential. I wanted to just better understand what you think the hole is for the Puerto Rico wrap and then how you're thinking about power micro demand and feedback. And then within the home standby, I think you said mid-teens growth, how much of that is price mix and volumes. And then just an update on kind of the cost structure in energy technology '26 versus '25 bringing that loss down towards your target?
Aaron P. Jagdfeld: Yes. Thanks, Jeff. All great questions, and I appreciate, by the way, the question on residential. Good to talk about that. That market, obviously, the second half of last year was just incredibly softer outages. So when we think about the opportunities for residential next year, and we're calling out a mid-teens growth rate overall. But when you kind of pick apart the pieces, which I think is what the gist of your question is, Jeff, the DOE headwind, that program ended here early '26. About $100 million of energy storage, that's a hole that we've got to make up. Now we do have our next-generation power cell products in market. And then as we noted on the call in our prepared remarks, PowerMicro, which is an exciting -- the microinverter market is an established market for residential solar. And even though the incentives and support at the federal level for residential solar and maybe even storage, you can make the argument is going is gone for intents and purposes at least at the homeowner level can it still exists for third-party operators, DPOs. But we do think that, that market, while it will compress in the short term, a year or 2, all the forecasts are that as energy costs continue to rise, the need for these types of products is there's going to be a demand for them at the residential level for sure and certainly at the light commercial level, which we'll focus on eventually long term as well. So there's a hole there. That's going to be offset by PowerMicro, not fully. It will also be offset by ecobee growth, not fully. So when you look at just those products, storage, microinverters and our ecobee products, that's going to be down but then obviously, good growth on our core residential products with home standby and port generators. In terms of like where that's coming from next year, we see about half of the growth in the home standby category coming from price. So it's the realization of price, not only from the new product line, which has a higher ASP, a bit higher ASP, but also full year realization for some of the tariff price increases that we put in last year. That's about half the growth. And then the other half would be unit volume that would accelerate based on a return to a more normal. The assumption that we return to more normal outage in [indiscernible] more in the second half of the year, of course. So that's kind of how if you unpack it, but still kind of exciting that even in spite of kind of having a challenging second half of the year last year, the category -- the metrics in the category actually hung in there. I mean we were surprised to see home consultations, activations, dealer counts, you still got our dealer counts, all the things that we watch very closely and then you look at winter storm firm, we kind of got off the year on the right foot finally with the category. So we were able to see some nice volume on portable generators. It's going to give us -- it's going to put us in a much better position starting out the year then had we continued the power outage kind of drought that we've been in here in the second half of the year. So we feel pretty good about where we're kind of where we're leaning here as we start the year for the residential products.
Operator: Our next question comes from the line of Brian Drab with William Blair.
Brian Drab: I'm just wondering if you can update us on what kind of margin are you expecting from the data center products? And I know you're not going to give maybe specifics to like relative to home standby. And then also, how does that progress over time? Obviously, you're at a moment where you're ramping capacity dramatically and the costs associated with that. Are there -- and just the inefficiencies that often come with new product launch where margin is going to be this year and longer term?
York Ragen: Yes, Brian, this is York. Yes. Good question. The way we're seeing it play out in terms of these projects is -- and to your point, as we ramp up capacity, there will be some start-up costs. We're seeing around mid-teens EBITDA margins or contribution margins for these projects in 2026. And then as we ramp up and get more scale, we're seeing more high teens margins in the 27%, 28% range in the data center space. So basically in line with pretty close to corporate average EBITDA margins which is [indiscernible]
Aaron P. Jagdfeld: Yes. And I would say the upside there potential, Brian, would be as we look to bring in-house more elements, more vertical integration in the entire package, there's an opportunity there for us should we find the right way to do that either through M&A or organic investment to do more of the content. Obviously, we're not going to do diesel engines, but we have the opportunity to add to the content, which then would have the potential to improve the the margin profile even further. So yes.
Operator: Our next question comes from the line of Stephen Gengaro with Stifel.
Stephen Gengaro: Just I was wondering about the home standby generator business. Just as you sort of observed the trends in that business over the last couple of years, how do you think about just the penetration rates you're seeing and kind of just sort of the growth rate you would expect over kind of a multiyear period in kind of a sort of smooth outage normalized outage activity market?
Aaron P. Jagdfeld: Yes, Stephen, great question. I think the challenge in answering the question, of course, we haven't really had much of a "normal" outage environment. We talked about that on the averages, of course, and that helps smooth things out. And I guess to answer your question, today, we're only 6.75% penetrated. And every 1% of penetration is a $4.5 billion market opportunity. Our share is is outsized in that market because we created it, we own it, we drive it. There isn't a single other player in the home standby category that puts the kind of muscle we put behind. And we do that because it's only 6.75% penetrated, and we think that there's huge upside there. I mean when you look at where could penetration go, which maybe is your question, in terms of terminal penetration rate, for the category. I mean we have states and mind you, some of these states are our fastest-growing states where we're in the 20% range, right? We're 23%, 24% in states like West Virginia and may not huge states, right? But you look at other states like Michigan. Michigan for us is a 17% pen rate. So can we get the 17% pen across the U.S. I mean, there's -- California is low. So there's opportunities there. Texas, which is a massive market, is only really right at the median now. Florida is really kind of right at the median. So I think the opportunity here, if you look historically, the growth rate in the category over the last 25 years has been roughly 15%. It's been pretty consistent over that period. And I would say, we're saying residential products in total are going to grow in the mid-teens. Home standby is a component of that obviously a driver, a major driver of that. So 10% of that. So in terms of where we think we can go with this category, we just think there's a lot of runway here. I mean, you look at just all the data around outages and the trends over the last 20 to 30 years are all up and to the right. And as Americans, we deal with outages more than any other kind of developed nation in the world. It's amazing, really. The state of our grid and the reality of it is, and it's complex. There's a lot of reasons for it. And we've always said Mother Nature has always been kind of driving 70% of those outages. We are seeing a change we're seeing a change in basic kind of math around supply and demand and shortfalls in supply. You may have heard in my comments, the National Electric Reliability Corporation calling out that half of all Americans are at risk for significant outages over the next 5 years because of energy shortfalls, not because of mother nature. So you look at that and you look at the structural things that are driving that right? We've brought a lot of supply on the grid that's renewable. So in terms of how you plan for that in terms of capacity planning factors, they're much lower than thermal assets like coal or gas plants or nuclear, right? You can't plan them as high. So that's a problem when it comes to -- you've got periods of peak demand. Very hot days, very cold days are going to present significant challenges to grid operators and keeping the lights on. You're going to see more rolling brownouts, more rolling blackouts as a result. This is fact. Without a question, we are going to see this. It's been called out over and over again by a ton of prognosticators and others who follow these markets much more closely than we do. And so we think the opportunity for home standby backup power. And then, of course, in our C&I business, our core business, backup power, the requirements there are going to be significant in the years ahead.
Operator: Our next question comes from the line of [indiscernible] with Bank of America.
Unknown Analyst: Just to clarify here, when you say you've progressed to the pilot phase with hyperscalers. What's the pilot mean in practice? Is that based on performance validation? And then the second question I had here, we're talking about potential significant volumes in '27 and '28, right? Is that based on customer provided demand forecasts that are tied to specific cycles or more to a general capacity reservation for future expansion, right? I'm just -- I'm trying to confirm here what we can anticipate in just in the C&I profile. I think last quarter, you maybe spoke about C&I doubling in the next few years. And -- was that kind of based on just 1 hyperscaler award here because now we're talking about 2. So trying to get more clarity around this in general.
Aaron P. Jagdfeld: Those are great questions. I mean, first, on the pilot programs, they're different. Based on the different hyperscalers, they both have different requirements, but effectively, there are test scripts but then we run the products through in some of those in our laboratories. Some of those are as parts of actual real sites so in the wild, so to speak. So those are underway today. And some of those are observed directly here again, and some of those are are in the wild. So we are progressing well there, and we don't see any problems with meeting those requirements. We know these products quite well. As far as your question about the capacity that we've been talking about in the future here, '27, '28 with these hyperscalers, it's a mix of both. We actually -- in one instance, we have hyperscale,a potential hyperscale customer that is telling a specific site build-outs for their sites. And we wanted to overlay our manufacturing capacity kind of globally to see where that could fit in. And so in that instance, with that conversation, it's a lot more pointed around the specifics of what is needed by site and what we could potentially provide because obviously, logistics costs are a big part of the overall bill here, not only in cost but also in time. So trying to match the builds, the build-outs of these data center of the construction activity with our manufacturing production capacity by region is one work stream. With another hyperscaler, it's all about, hey, how many slots can reserve for us. And we're talking about a lot of product. It's -- in fact, it's almost -- it's just difficult for me to get my head around in terms of the size of what we're talking about here in the potential. And in fact, the $1 billion of capacity that I've said we've kind of put ourselves in a position to be in by the end of the year here domestically would not be enough to handle the potential capacity that would be required if we are able to successfully land purchase orders for these hyperscale customers? Because remember, we also have co-locators. We're a preferred supplier to 2 co-locators already. in our backlog and that continues to grow. So just the requirements here are enormous. To answer the last part of your question about our completion of doubling the C&I business over the next 3 to 5 years, if we had to be very honest, that was really a landing on hyperscaler is if we landed one hyperscaler, that would get us to a point of doubling. Is there an opportunity to go higher than that? Of course, -- that would be somewhat obviously gated by our ability to expand capacity and then, of course, supply chain as well. So those are things that we've got to work on yet, so we're not ready to commit higher than that. But I do believe if we can get -- if we can have success with our own capacity and if we can continue to work with our supply chain partners, there is a possibility that we could go higher than that in the future.
Operator: Our next question comes from the line of Christopher Glynn with Oppenheimer.
Christopher Glynn: A couple on residential. Just curious about how you're thinking about ASP in the short term related to burn. And I didn't hear any comments on that. And then he could be us new grid resiliency service where you had a nice contribution to the grid operating capacity. How do we think about the revenue and monetization implications for that?
Aaron P. Jagdfeld: Yes. Thanks, Chris. Good questions. In grid services, it's -- we obviously have invested in that. It's a small piece, though, but it is interesting. We want to keep a toe in that because it's recurring revenue, but also the possibility of the grid to be very frank, grid services programs have been slow to develop slower than we thought, right? Like we acquired Ambala a number of years ago. We've got -- obviously, ecobee with that business came the grid services opportunities there. And that's really where most of the revenue is coming from today is on the ecobee side. Utilities have been just slow to adopt grid resiliency programs. I do think as the grid becomes more constrained and as pressure builds on utilities and grid operators, they will have to turn to nonconventional solutions like virtual power plants and other grid services types of programs. So we definitely want to stay close to it. That's something that we're it's just small, right? But it's recurring and it's a nice piece of growth there, and we're going to continue to stay in bulk. Your question on home standby Fern gave us a nice bump on portables also gave us a nice bump in IHCs, our in-home consultations, and we saw those basically double from where we were expecting them to be for the month. So and up considerably from the prior year, obviously, as you would expect in a period of time that's generally kind of off season, if you will. So what are the prospects for that? I mentioned our new lead distribution system, which we have seen nice results from already. We've seen a nice improvement in close rates coming out of those systems when we do get surges in demand. So we'll let these IHCs mature, and we'll provide a more fulsome update on that but they were high. They were -- there's no dying it [indiscernible]. Yes. And we put something into the guide for it, but do we make enough. We want to see what the close rate looks like. Now we want to see how the rest of the season develops here. We want to see what kind of as we get a better read on the consumer maybe overall, big ticket purchases tied to residential investment, where is that going? So I think we're maybe taking a bit of a more conservative tone there, but we're off to a good start for the year. So that's helpful.
Operator: Our next question comes from the line of Praneeth Satish with Wells Fargo.
Praneeth Satish: So the decision to expand to $1 billion per year of diesel genset capacity, you did this before getting signed contracts from hyperscalers. But it makes sense given the amount of demand you're seeing and the industry capacity constraints. But I guess my question is when we look beyond that, beyond that $1 billion I guess 2 questions. One, is it possible at this point to increase capacity above $1 billion in -- and then two, how do you think about expanding for that next tranche with -- in the context of peers that are also expanding capacity for that '27, '28 time frame for that next leg of expansion, would you kind of wait for contracts to be in hand before expanding? Or would you still do it again if you saw enough demand signals?
Aaron P. Jagdfeld: You're spot on. I mean, we felt good enough about where we were headed here with our discussions with the customers that I've mentioned here that we took -- we're running on a better risk there by going out and buying an existing facility. We bought an existing facility, so we could get it up and running quickly, right? I mean to build something greenfield takes more time frankly, [indiscernible] capital. This, I think, was a much more efficient way to to accelerate our capacity adds. And again, that $1 billion that I mentioned is just the domestic capacity. So we actually have greater than that globally. So we had mentioned $500 million, I think, on a previous call, and that was really our global capacity. So we maybe have a couple of hundred million of additional capacity outside the U.S., and we're looking at ways to expand that as well, by the way. So where does that put us? I think we'll give a more fulsome update. We do have an Investor Day coming up on March 25. So we'll be able to provide, I think, a lot more context there around where we're going from a capacity standpoint for sure. But your question, if we saw opportunities, let's say we wanted to go to $2 billion, right? Like we saw handwriting the wall. I guess it would depend on how strong those signals, those buy signals are. Obviously, we took -- we undertook this first step without having orders in hand. I would tell you it will be I would take greater comfort in trying to double it again if we had hard orders in hand. So it's not that we wouldn't do it. for the right circumstances or if we saw and had the right kind of conversations at the right levels of these customers as well. But we did take that. We took that initial kind of flyer here. and because we feel very good about it. I think that's going to pay off well. That will position us very well, we think, in the context of the other part of your question about the rest of the market and where we are competitively. We think that our lead times are going to remain shorter than the rest of the market, at least for the near term and probably all of 2027, our competitors today are out kind of 2 years on deliveries. And of course, they are investing in capacity adds as well. But the constraints largely for our competitors are in the engines and the engine supply. Our engine partner, we believe, can allow us to continue to keep shorter lead times because of their overall investment in their capacity, which gives us access to to what is the arguably the most critical component in the gen set in terms of long lead time.
Operator: Our next question comes from the line of Joseph Osha with Guggenheim Partners.
Joseph Osha: Just 2 quick ones. First, we've talked a lot about hyperscalers. I'm wondering if you could help us perhaps size the colo opportunity, Aaron, you mentioned it briefly because there's a lot there. And then the second question, we were [indiscernible]. We've talked a lot about diesel today, but we also heard a lot about some of the smaller sparked natural gas machines being used as a time to power solution in some cases. And so I'm wondering if you could comment on whether you're seeing any of that demand.
Aaron P. Jagdfeld: Yes. Thanks, Joe. Great question. No, I think from from a diesel perspective, that the -- that market continues to grow. Obviously, the co-locator portion of that today is our focus because we haven't gotten to final contract signings with the hyperscalers. And at $400 million of backlog, could you argue that is that 30% of the market. Is that 1/3 of the market? Possibly [indiscernible] Yes, there's a lot -- I'll tell you this, it's a longer tail on -- in terms of just the number of customers to talk to there and the number of parties involved, we have been making very good progress though there. I mean that is where we've gotten our first point of traction. And we've been working with those customers to establish ourselves, I think I mentioned just a second ago with another question was we actually are listed as the preferred supplier with 2 co-locators. So where they do sites around the world, we are one of the primary suppliers that they look to for backup power. So those are great opportunities for us and will help us kind of balance out, if you will, reliance on any one customer, but there's no denying that the hyperscalers are. They just have they have -- they carry a lot of cloud, obviously, in terms of the capital they're deploying for data center construction. So they're going to have an outsized impact. Your question [indiscernible] product is a good one. We are seeing certain spark-ignited engines being used in applications kind of behind the meter to power data centers who -- where grid interconnect is not available and where the lead times to wait for maybe a traditional gas turbine or a different solution is just not not possible, right? You want to bring the center -- data center online, so you're seeing [indiscernible] engines, reciprocating gas engines being used. What typically -- what you'll see with those reciprocating gas engines, though, is there they are operating -- not to get too technical here, but they're operated in what's known as a lean combustion cycle mode, which allows them to operate more efficiently to produce power on a continuous basis. The engines themselves are robust off. You could use them in backup -- but the problem you into with lean burn gas engines as configured as lean burn is their response times to outages are poor. Generally, you've got to get those machines. It takes time for them to spool up and get to full power. And we're talking about minutes, which is an incredible amount of downtime data center, if you were to lose power, then we'd have to [indiscernible] -- you'd have to infill that with a lot of batteries, either UPSs, [indiscernible] supplies or raw batteries to be able to cover that gap. So they're not great pure backup assets. In fact, what we're seeing is where you do see [indiscernible] engines and lean burn being used in a prime power configuration, you're still seeing diesel backup generators on the sites because the theory that we've been hearing anyway from customers is that they'll just -- once the site gets connected to the grid, they'll -- they need the backup generators and cat there's a failure with the lean burn machines as they're providing primary power. But then once grid is connected, those gas machines can be picked up and moved to a new site, right? They can be moved to another site that's forward in advance of interconnect and redeployed there. So we believe there's going to still be a market and an opportunity that, that doesn't shrink the TAM at all for backup diesel generators, that you need both effectively is kind of what my point is.
Operator: Our next question comes from the line of Vikram Bagri with Citi.
Unknown Analyst: It's Ted on for Vik. I wanted to talk about energy technology. Are you able to share whether revenues where they shook out relative to the $300 million to $400 million range that you previously talked about? And then for this year, is it fair to assume that those revenues would be below the end of that range, if you include the Puerto Rico impact? And then just lastly, could you just confirm whether the focus is still on achieving breakeven EBITDA margins within that business in 2027?
Aaron P. Jagdfeld: Thanks. Appreciate the question. So last year, 2025, those products ended at the high end of the range, closer to 400, they were about 375. And going forward, they're going to pull back a little bit because of the loss of the DOE program, but actually, they're going to be kind of in between that 300 to 400 range again. PowerMicro launching and ecobee continues to just rip for us. It's a great company, to be honest, great products, great support, and they are becoming much more deeply integrated into this ecosystem we've been building. So in terms of like when you look at the products individually, we are still very fixated on getting to breakeven profitability by 2027 on the products -- in the product set collectively. But what the problem we're going to run into here as we go forward as we build out this ecosystem is that more and more of the operating expense, if you will, the layer that is at ecobee and is that some of the other businesses there that make that group up, they're getting pulled into this -- the build-out of this energy ecosystem. The focus on building out the ecobee thermostat, smart thermostat, turning that into more of an energy hub and deploying and bringing and unifying basically the customer experience on to the single app that [indiscernible] so do you say that that's related to energy technology? Or do you say that that's related to residential. So we'll -- as I said, we've got an Investor Day coming up in late March, and we'll provide some, I think, more detailed color about how we're thinking about talking to this going forward because it is going to get a little bit messy as we integrate more deeply all of these products for this ecosystem concept. But that said, if you were to just peel those products out on their own, we are still highly focused on those getting to breakeven profitability in '27. We're going to make very good progress on that here in 2026. That's our plan.
Operator: Next question comes from the line of Keith Housum with Northcoast Research.
Keith Housum: Going back to the residential part again here. Aaron, perhaps any thoughts you have in terms of the battery storage market, understanding there's been a lot of products coming out of the past year and potentially the cannibalization of the HSV business, how do you kind of guarantee that does not happen going forward?
Aaron P. Jagdfeld: Yes. Thanks, Keith. It's a great question, right? I mean it's one of the reasons why we're investing so heavily in battery technology because obviously, battery performance has continued to improve, costs are coming down. The reality is though, we're still a long way off from where a battery could stand in for long-duration outage coverage -- I mean, you can go out, you can buy 5 PWRcell 2s, if you want. But in terms of just the cost per kilowatt hour of coverage, it's really expensive, right? So it's just not equitable today. I think we're batteries in the residential market short duration outage protection, of course, but really as part of an overall strategy for a homeowner who wants to self-generate, right, either on the rooftop with solar or geothermal, some other production method and then having the ability to store some of that power so that they can arbitrage the value of that power back to the grid operator at a time when it makes most sense, either consume it, self-consume, right, when grid rates are high, or to sell it back to the grid at a time when they don't need it and maybe the rates are more appropriate and they can get a return on that. All indications -- again, the market for solar plus storage is going to contract here in the short term. There's no question about it. There was definitely some pull forward into 2025 as a result of the end of the tax incentive for homeowners directly. But as we look forward, all projections are that is energy costs keep going up, energy costs are up on average across the U.S. in the last 5 years, they're up even more dramatically in certain parts of the country like California and they're projected to double. The utility bill for most homeowners today is second only to the rent or your mortgage and it's going to go up. It's going to double again. So homeowners and honestly, like if you're a homeowner, you're frustrated with your power cost rising and you feel like your only way to combat that is to go around the house and turn off turn off lights and turn down the thermostat or turn it up depending on what time of the year it is. If that's the only way you can manage that, I mean that's not a great situation to be in. Homeowners and businesses are going to be looking for ways to cut their power costs. They're going to be looking for ways to save. We think this is the next big leg of residential long term for us. There's always going to be a market for resiliency, and we think that home standby is going to lead that market for a long time just on a raw cost basis, right, in terms of the value proposition of that product line. But over time, as batteries become more -- better from performance and costs continue to come down and utility rates continue to rise, the ability to self-generate and have some amount of storage, again, to play that arbitrage, to get the payback on the system and then have some resiliency. But again, the ecosystem concept where maybe even at a generator to that system. We have customers who are doing that today. bottom was battery. Instead of buying 5 power walls. They buy one power wall or PWRcell 2 and they had a generator. That's a much more cost-effective way to get basically bottomless coverage. And we think that's a great kind of hybridization of backup power in the space. So we see the market being a huge opportunity for us Long term, we're very convicted about obviously, and that's why we've been investing the way we're investing, and we're going to be a significant player in the space as the market grows out.
Operator: Ladies and gentlemen, due to the interest of time, I would now like to turn the call back over to Kris Rosemann for closing remarks.
Kris Rosemann: We want to thank everyone for joining us this morning. We look forward to providing a longer-term strategic update at our upcoming Investor Day on March 25 and discussing our first quarter earnings results in late April. Thank you again, and goodbye.
Operator: Ladies and gentlemen, that concludes today's conference call. Thank you for your participation. You may now disconnect.